Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the AltaGas First Quarter 2022 Financial Results Conference Call. My name is Miranda, and I will be your conference operator today. All lines have been placed on mute to prevent any background noise. [Operator Instructions] After the remarks, there will be a question-and-answer session. As a reminder, this conference call is being broadcast live on the Internet and recorded. I would now like to turn the conference call over to Mr. Adam McKnight, Director of Investor Relations. Please go ahead, Mr. McKnight.
Adam McKnight: Thanks Miranda, and good morning, everyone. Thank you for joining us today for AltaGas' first quarter 2022 financial results conference call. Speaking on the call this morning will be Randy Crawford, President and Chief Executive Officer; and James Harbilas, Executive Vice President and Chief Financial Officer. We're also joined here this morning by Randy Toone, Executive Vice President and President of our Midstream Business; Blue Jenkins, Executive Vice President and President of our Utilities Business; and Jon Morrison, Senior Vice President and Investor Relations and Corporate Development. We'll proceed on the basis that everyone has taken the opportunity to review the press release and our first quarter results. And similar to previous quarters, we've published an earnings summary presentation that you can find on our website. This presentation walks through the quarter and highlight some of the key variances and non-recurring items that we would assume will be helpful for the market to understand. As always, today's prepared remarks will be followed by an analyst question-and-answer period and I'll remind everyone that we will be available after the call for any follow-up or detailed modeling questions that you might have. As for the structure of the call, we'll start with Randy Crawford providing some comments on our financial performance and progress on our strategic priorities, followed by James Harbilas providing a more detailed walk-through of our first quarter financial results, near-term outlook, and 2022 guidance. And then we'll leave plenty of time at the end for Q&A. Before we begin, I'll also remind everyone that we will refer to forward-looking information on today's call. This information is subject to certain risks and uncertainties as outlined in the forward-looking information disclosure on slide two of our investor presentation, which can be found on our website and more fully within our public disclosure filings on both SEDAR and EDGAR. And with that, I'll now turn the call over to Randy.
Randy Crawford: Thank you, Adam and good morning everyone. I am pleased to be here today to discuss our first quarter results. Once again, our team delivered strong operational and financial results as we continue to execute our strategic plan and near-term priorities, putting us on solid footing to deliver on our 2022 guidance and longer term growth plans. Our Utilities and Midstream segments continue to deliver stable and predictable results as we focus on safely and reliably connecting our customers to affordable sources of energy. The importance of which continues to be highlighted during this period of energy insecurity. The far-reaching geo-political implications arising from unfortunate events that continue to transpire in Eastern Europe, illuminate the importance of energy independence and diversity. The critical role that the energy sector plays in fueling the global economy and keeping society moving forward in a sustainable way continues to shine a light on the need for ethically produced and secure North American supply growth to meet the rise in global demand for affordable energy. As a result the macro-environment for energy fundamentals continues to strengthen as the tightening supply and demand picture is beginning to drive a supply response. We are fortunate in Canada and the United States to have the access to abundant sources of energy and it is imperative that investment in critical energy infrastructure continues as we transition to the energy sources of the future in a sustainable way. AltaGas is well-positioned to support the continued development of critical energy resources such as the Montney and to a lesser extent, the Marcellus Shale to facilitate the best outcomes for our customers in Canada, the U.S. and Asia. The views that have been taken by the opponents of MVP are unfortunate and have caused significant delays to the completion of the pipeline. The pipeline creates the opportunity for Marcellus producers to accelerate the development of their acreage and introduce significant new quantities and natural gas, East Coast gas utilities, and electric generators, the benefits of which will be passed on to consumers domestically and abroad, with lower prices during this period of high energy prices. We take great pride that our critical infrastructure and operations including our leading West Coast export platform, and significant gas distribution networks support better global environmental outcomes that align with lower carbon and lower emissions future that is upon us. As we look ahead, I'm extremely excited about the position of our company, and the increasingly constructive energy demand fundamentals as the global economy continues its recovery. We remain steadfast in our strategy, and are firmly committed to leverage our strategically positioned utilities and midstream assets, both with significant growth opportunities. And with that backdrop, I would like to touch upon some highlights of AltaGas' first quarter. This quarter, we achieved normalized earnings per share of $1.02 and normalized EBITDA of $574 million, both of which were in line with our expectations. Our results are further evidence that our strategy and diversified business model are working. Our regulated utilities continue to demonstrate stable and predictable results, delivering the critical energy that our customers need during the peak winter season, while providing stable and predictable financial results for our shareholders. For the quarter, normalized EBITDA was $408 million, up approximately 10% year-over-year. The strong year-over-year growth is supported by the continued investment in our networks to improve the safety and reliability of our system, reduce long-term operating costs, and deliver improved environmental outcomes, all of which provide better outcomes for our stakeholders. We continue to advocate for our customers and focus on affordability, ensuring our customers have access to safe, reliable, and affordable energy remains a top priority, particularly during periods of rising energy prices like we're experiencing today. On April 4th, Washington Gas filed an application increase rates in the District of Columbia by $53 million. The rate case also seeks to drive forward a number of initiatives to help our utility in the district achieve our climate goals. These initiatives include a climate progress adjustment, which is designed to promote energy efficiency measures that reduce customer demand and consumption and the climate action recovery tariff to fund company initiated climate measures to reduce emissions. We're also asking the district to expand support for low income customers to alleviate the impact of rising energy prices and rate increases on our most vulnerable population. In our integrated Midstream segments, we continue to provide our customers with safe and reliable connectivity to premium markets for North American LPGs, providing the best netbacks for our customers, while delivering diversity of supply and supporting energy security in Asia. Our fractionation and liquids handling volumes increased by 14% year-over-year in the first quarter and we exported nearly 88,000 barrels a day of LPG to Asia on 14 VLGCs, despite lingering logistics challenges in the early part of the quarter associated with devastating floods that took place in late 2021. With rail operations back to normal and a successfully supply re-contracting cycle completed in April, we are well-positioned to meet our 2022 export target of 97,000 barrels a day. We are proud of the role that AltaGas is playing to support global energy security through the supply and export of safe and reliable source LPGs to global markets. We continue to focus on optimizing our platform and existing assets to maximize facility utilization and drive increased returns on our invested capital. Investments in our midstream business will continue to be centered around our global export platform to provide North American producers and aggregators with the best markets of propane and butane, while providing diversity of critical LPG supply, which contributes to energy security in Asia. In summary, with another strong start to the year, we continue to execute our strategic plan and we deliver on our near-term priorities, which keeps us right on track with our 2022 guidance ranges. Looking ahead, we remain very constructive on the path forward for our company and the role we will continue to play in delivering safe, reliable, and affordable energy to various end markets, to the benefit of all of our stakeholders as we continue this journey. And in closing, I'm proud of the growing role that AltaGas plays in supporting North American energy independence, access to affordable, diverse energy sources, and our ability to export affordable butane and propane LPGs to the world. And with that, I will turn the call over to James to review the financial results in more detail.
James Harbilas: Thank you, Randy and good morning, everyone. As Randy mentioned, we were very pleased with our first quarter 2022 financial results and the strong start to the year. During the first quarter, we achieved normalized EPS of $1.02 compared to $1.29 in the same quarter of last year, representing a decrease of 21% year-over-year. I want to remind everyone on the call that in the first quarter of 2021, the U.S. experienced extreme weather conditions and market volatility which led to larger than expected profits in our U.S. transportation and storage business, which we subsequently monetized in April 2021. As such, year-over-year normalize the data for the first quarter of 2022 was impacted negatively by approximately $115 million of lost income associated with divestiture of this business last year. Normalized EBITDA for the quarter came in at $574 million compared to $674 million in the same quarter last year. Normalized FFO was $462 million in the quarter compared to $583 million for the same quarter last year. Turning to our segmented results for the first quarter, normalized EBITDA on the Midstream business came in at $174 million compared to $304 million in the first quarter 2021, which included the previously mentioned contribution from the U.S. Storage business in the first quarter. The quarter also included year-over-year growth in our global exports platform, albeit at a slightly slower pace than otherwise would have been the case due to some carryover effects of the devastating flood -- flooding and rail outages on the West Coast that occurred during the fourth quarter of 2021. Despite these headwinds, global exports generated $81 million in normalized EBITDA during the quarter, representing 16% growth year-over-year, driven by strong export volumes of nearly 88,000 barrels of combined propane and butane to Asia. RIPET exported approximately 53,000 barrels per day of propane in the first quarter on eight ships, and Ferndale exported approximately 35,000 barrels per day of combined butane and propane on six ships. AltaGas' fractionation and liquids handling volumes increased 14% year-over-year, driven mainly by strong throughput at our North Pine and Harmattan facilities. We continue to have a healthy hedge position at our Midstream platform with approximately 41% of global export volumes totaled or hedged for the balance of the year. This includes an average FEI to North American Financial hedge price of just over $10 per barrel. We also have 77% of our frac exposed volumes hedged for the remainder of 2022 at $34.58 per barrel. Our hedge position is slightly lower relative to our typical position for this time of year, which we expect will increase over the coming months and with the NGL re-contracting season behind us, we have good visibility on our export volumes for the balance of the year. Normalized EBITDA for the Utilities business was $408 million in the first quarter of 2022 compared to $371 million in the comparable quarter of last year. The 10% year-over-year increase was driven by higher asset optimization in the quarter, ongoing ARP spending, and customer growth, partly offset by higher operating costs. WGL reported normalized EBITDA of $298 million in the first quarter, up 8% year-over-year, driven mainly by the positive impacts of the Maryland and D.C. rate cases, continued ARP investments, and asset optimization, offset by higher O&M. SEMCO and ENSTAR's combined normalized EBITDA was $88 million in the first quarter, up $6 million from the same period last year due to higher customer usage and customer growth, partially offset by higher operating and personnel costs. And finally, the retail business generated $21 million in normalized EBITDA, up $8 million year-over-year due to higher gas prices and favorable margins and the timing impact of swap gains between the first and second quarters of 2022, the latter of which has the effect of pulling profits into the first quarter of 2022 and the second quarter, and as a result, we expect to give some of this benefit back in the coming quarters. The corporate and other segment reported a normalized EBITDA loss of $8 million compared to a $1 million loss in the same quarter of 2021. The $7 million year-over-year decrease to normalize EBITDA was driven by the combination of higher corporate expenses, which were primarily related to employee incentive plans as a result of AltaGas' strong corporate performance and rising share price and costs related to a planned spring outage at the Blythe Energy Center in California. Looking ahead, we continue to focus on delivering durable and growing EPS and FFO per share, while lowering leverage ratios over time. We're maintaining our 2022 guidance ranges, including normalized EPS of $1.80 to $1.95 per share, normalized EBITDA guidance of $1.5 billion to $1.55 billion, and 2022 capital program of approximately $995 million. And with that, I will turn it over to the operator to open the call for questions.
Operator: Thank you. Ladies and gentlemen, we will now conduct a question-and-answer session. [Operator Instructions] Your first question will come from Dariusz Lozny with Bank of America. Please go ahead.
Dariusz Lozny: Hey, good morning. Thank you very much for taking my question. Just wanted to touch on the Midstream and the export volume plan for the rest of the year briefly. It sounded like you guys are quite confident in achieving the 97,000 average. Can you maybe just discuss a little bit? Do you expect there to be any seasonality in that with one quarter, perhaps higher than another? Or any flex that there might be in that plan to potentially account for weather or maybe other unforeseen disruptions for the balance of the year?
Randy Toone: It's Randy Toone. Yes, we have seasonality in our exports in Q2 and Q3, we do bring in a lot of product via pipeline into Ferndale, so we can move more product out of Ferndale in those two quarters and less in Q4, so you'll see higher volumes Q2 and Q3 and a little bit less in Q4.
Dariusz Lozny: Okay, excellent. And sorry, maybe just if you can briefly touch on -- I assume there is some degree of flex in that plan, because, for instance, in Q1, there was a little bit of, I guess, carryover from severe weather. So, in the event that there are other, like sort of unforeseen circumstances for the balance of the year, I assume, despite that, you would still be confident hitting that 97,000? I just want to confirm that please.
Randy Toone: Yes, yes, we're confident we're going to meet the 97,000 barrels, there's always some sort of potentially weather effects, but those are short lived.
Randy Crawford: So, let me -- this is Randy Crawford. Thanks for the question. I just add that this has been one of our best years from a supply procurement. And when you look at the, the our core competencies and really the credibility that we've built in the marketplace, in Asia, in core competencies, that I believe is quite unique. And again, if we're able to maximize these logistics, as we've done and optimize them, and we're going to -- we believe that managing these two ports that we have the right competence in place, built the credibility and that's going to position us well for continued growth. So, we're very competent in hitting our numbers going forward.
Dariusz Lozny: Okay, excellent. Thank you very much for that added color. Sorry, just one more, maybe now on the Utilities if I can, just in brief. Could you comment maybe on how you're tracking as far as earned ROEs at WGL specifically? It seems like maybe in Q4, there was a little bit of a -- you guys might have fallen a little bit short of the target of achieving your authorized returns. But then there was this nice step up here in Q1. So, curious how you're looking there as far as the authorized returns, or excuse me the earned returns?
James Harbilas: Yes, I mean, we said -- sorry, it's James here. We said we've made steady progress relative to those ROEs and where we were sitting at the end of Q1 on a trailing 12-month basis is probably about 60 to 70 basis points short. If I add in asset optimization, then we're obviously a little closer to those returns. We said consistently that for us to get to the loud returns, the one jurisdiction that we're tracking a little bit behind in is D.C. and we've filed a rate case that Randy referred to, to take into consideration the considerable rate base investments we've made in D.C. to improve customer service and obviously to have our current cost structure reflected in rates to customers. So, that'll help us close the gap to the ROE at WGL.
Randy Crawford: And I'll just add to James's comments that D.C. is more of a catch-up, right when I look at that as an anomaly, as James pointed out with the rate base growth and cost, but we continue -- as I said in my prepared comments that we continue to drive down leaks and keeping costs under control. And we do this, because in the capital plan is the right thing to do and it's proactive and in the investments are paying off very well for our customers. So, thank you for the question.
Dariusz Lozny: Yes, absolutely. Thank you guys. I'll pass it along here.
Operator: Your next question comes from Linda Ezergailis from TD Securities. Please go ahead.
Linda Ezergailis: Thank you. I'm wondering if you could help us understand a little bit how your contracting philosophies are continuing to evolve with global exports. You've proven out the facility with your customers. And yet there's some evolving geopolitical developments that might -- maybe might accelerate contracting? Can you give us a sense of whether you expect to increase your level of contracting? Or if you're more comfortable leaving it more open? And also how your thoughts are evolving on the potential for expansions and maybe optimizing the facilities in terms of how you use them?
Randy Crawford: Hi Linda, this is Randy. Thank you for the question. Particularly, first from a strategic standpoint and I think everyone knows that our strategy is centered around optimizing, as you mentioned, and maximizing the existing capacity, and really positioning the platform for expansion. And as I mentioned earlier, it's our core competencies to move the product liquefy it, build to be LGCs. And really enabling seamless delivery of North American supply to Asian markets. And that's what is positioning us for success. And that we've continued to develop those core competencies and how to get product from Alberta, Canada, and British Columbia to Asia. And I mentioned that from the standpoint of the market, right, we're seeing robust demand, both on the demand side, and on the supply side, we continue to build that credibility going forward. So, I think that we're well-positioned to continue to expand. So, it's really that unique position in the platform, that's going to continue to allow us. And if you think about this -- we've talked about it, we've been proactive in arranging the ships, we have -- we contractually control our VLGCs and we view this as a catalyst to extend AltaGas reach of its export facilities. And that's going to position us for opportunities to contract longer term demand and really a catalyst for expansion. So, I see it as a virtual direct pipeline from North America to Asia. And so it's those attributes that are positioning us quite well for that. And we're regularly discussing and looking for opportunities, partners to expand those capabilities and working. I think to the other point that you had raised, I think more on open positions and strategies, right, -- and I think James touched on this in his comments. But we've established sort of floor as we continue to layer in hedges, targets to meet our expectation. And as we see trends, we continue to do so and we optimize those. So, hedging a base amount layering and hedges as the fundamentals continue to change. And overall, our view is that we're bullish at this time. So, that gives you some general view, I hope as to why we're feeling confident in our ability to meet our targets and expand going forward.
Linda Ezergailis: Thank you. And as a follow-up question, maybe if you can help us understand a little bit more about your D.C. Utilities application. For the U.S. $40 million revenue increase, if you get everything that you asked for, how much would income go up year-over-year? And maybe can you help us break down the requested increase into different buckets beyond rate base investments and capital returns?
Blue Jenkins: Linda, this is Blue. If we got everything we asked ,for what you what you will see in the application as we would get $48 million, I'm rounding, in new revenues, the $5 million that make up the delta between the $48 million and the $53 million we filed is part of an annual rollover of our accelerated pipeline program. So that's already in we would just codify it as part of the part of the rate case.
Randy Crawford: And this is Randy. The majority of the drivers I mentioned in my comments about the investments we've made and driving down operating costs is really driven primarily by rate base, sort of the pre-pandemic dollars in touch that we put in and the investments that we have made. And that's the real driver, largely in the case.
Linda Ezergailis: Is there any trend change in depreciation or returns or anything like that?
James Harbilas: Sure. I don’t -- we didn't change the depreciation rates, but return on equity.
Randy Crawford: Yes, we requested a slightly higher rate in the filing than we currently have.
James Harbilas: We get to I believe it's -- 
Randy Crawford: Yes, we're at 9.2 or 9.25 in DC, I don't recall right off the top of my head, 9.25. And we requested I think 10.3 is what's in the case.
Linda Ezergailis: Thank you. I'll jump back in the queue.
Randy Crawford: You bet.
Operator: Your next question comes from Rob Hope with Scotiabank. Please go ahead.
Rob Hope: Good morning, everyone. Just regarding the comments about having a very successful kind of supply procurement year, how have the conversations with your producer customers kind of changed over the last six months with a stronger commodity price environment, which could kind of increase your utilization at your -- like your gas plants as well as your North pine facility there? Are we seeing increasing demand for those assets? And can that how are you looking at expansions there?
James Harbilas: Yes. I’ll let Randy to comment. I'll just make a comment that you saw in the results of the significant increase that we've had in our fractionation utilizations. And so we're, you're seeing ample supply come to the market. And as we're seeing increased throughput at these facilities and I think that's supply responses happens to dovetail perfectly with our core competencies on the export platform. But Randy, do you want to add any more color to them?
Randy Crawford: Sure. Yes, we have seen an increase in our fractionation volumes in Northeast BC. And we're probably at the max capacity at North Pine. So we are evaluating further expansion there. But we're there has been a slowdown in there with the blueberry first nation court case, but we also have seen an increase in FRAC volumes coming into the port. And we have been successful in securing supply for this year out of the four. So we just do we do believe that the LPG volumes are going to grow in Western Canada, which supports our expert programs.
Rob Hope: All right. Thanks for that. And then maybe just a little bit of a follow up question. Looking at Q1 2022 versus Q1 2021. On the midstream side, lower NGL marketing margins were called out as a headwind for the quarter. Can you maybe touch a little bit more on that? Is that just more of a function of the very strong Q1 2021? Or were there some specific dynamics in Alberta that kind of didn't allow you to fully realize the value of the barrel?
James Harbilas: Hey, Rob, its James here it was -- it was definitely the former. I mean, if we look at to Q1 2021, obviously, our US storage and transportation business benefited significantly from price dislocation. And we had some cheap supply on the NGL domestic marketing side that we were able to move into those markets during some very, very strong pricing. And that contributed significantly was roughly about a $30 million to $35 million tailwind in Q1 of 2021 that obviously, we didn't experience in Q1 of 22. So it wasn't the -- wasn't specific, something specific to the Alberta market. It was just really having product that had a low cost base and inventory. And we were able to take advantage of price dislocation in the market in Q1 of 2021.
Operator: Your next question would come from Robert Catellier from CIBC Capital Markets. Please go ahead.
Robert Catellier: Hi, good morning, everybody. If I'm not mistaken, you've received the BC Environmental Assessment certificate to expand rip it. So I'm wondering at this point, what the gating items are there? Is it was there anything sort of in the conditions of that certificate? Or is it really just depended on customer demand and securing the appropriate level of contracting
Randy Toone: Rob, it’s a Randy Toone. The BC primitives is great to see progress on that project. But we still are waiting for the federal approval which we expect you're in the summer. But it also still we need to FID the project. So we're still working on de risking the project in both commercially and looking at capital and that sort of thing.
Robert Catellier: Okay. I just wanted to go back to the rubber conversation again and the hedging, and it's understandable that you're hedging levels are low until, where you stand on supply for the contract here. But now that it sounds like you're relatively bullish might have a view of maybe leaving a little bit more open. But with high prices being where they are seemingly was part partly driven by geopolitical tension. Wouldn't you be more inclined to take advantage of these high prices and hedge more of the exposure?
James Harbilas: Hi, Rob. It's James here. So it's a great question. I mean, if you look at the hedge book now we're highly hedged for Q2, as we head into Q2. But when we look at the balance of the year, and we look at the curve, there is backwardation in the curve. And that's why our hedge position is a lot lower now, relative to where it's been historically, we expect that that backwardation to flatten out. And when we start to see that trend, we will probably start to layer in hedges at that point, we have certainty around the supply side. We just like to see the backward dated end of the curve come up a little bit before we start to lock in some of that profitability.
Robert Catellier: Yes, okay, that makes sense. Last question for me, I guess for Randy Toone here is whether what -- really feeling with respect to timing for any resolution with a Blueberry River First Nation and what impact that might have on producer activity?
Randy Toone: Yes. So we have seen a slowdown in BC with some of the folks that don't have permits in place already. We have heard encouraging messaging coming from the government and the Treaty 8 members that the resolution is coming soon, within the next few months. And no, I think what we've heard is the, the Treaty 8 members want there, they support activity levels, they just want to have more of a say. And we have a very strong relationship with them as well. So we do think that that's going to, you'll see more on that in the next couple of months.
Robert Catellier: Okay. Thank you.
Operator: You're next question will from Ben Pham with BMO. Please go ahead.
Ben Pham: Hi, thanks. Good morning. My first question is on inflation. And I'm wondering, really your ability to pass through inflation, you think input costs include increasing on the wage side or any, anything direction inflation that is impacting your business?
Blue Jenkins: Yes, Ben, it's Blue. Couple of comments I'll make, as you as you know, of course, costs are up, across do many, many items. We're fortunate in the sense that last year, we were able to extend most of our union contracts. And so we fixed most of those in for terms. So we had line of sight. And what that looked like we also had, we've also had a pretty good term contracting strategy through our contractors that do a lot of work for us. So that's helped us hold the line a bit on cost as well. And then, of course, in our -- in our products in our steel and meters and those types of things. We also have some term contracts. And we had, we took advantage of the opportunities along the way to stock a bit more, if you will, as we go. So for 2022, what, we're certainly seeing the pressures, we don't see a lot of impact there. There are certainly some items, in the variable cost type of components, you get into paving and those type of issues. Those costs are certainly up, but we're pretty well protected by our term contract strategy to date.
James Harbilas: Ben, it's James here, I wouldn't mind just tackling that question from the organization as a whole as well. So obviously, on the midstream side, we've got a high degree of very big data comes from a fee-for-service and take-or-pay contracts. And obviously, contracts that also have inflation indexing. So we're able to cover inflationary pressures on a large chunk of our revenue that way and obviously, from an interest standpoint, because obviously inflation does have an impact on interest rates where we're in a period here where we don't have a lot of maturities coming due in 2022. We've got a $500 million MTN that comes due at the end of the year, but we have plenty of liquidity where we can take advantage of lower interest rates on the facility that are almost equivalent to the interest rate on the maturing MTN. And then the last thing I'll say is just on capital, we're in a period of pretty light capital on the midstream side, which doesn't really come under a lot of inflationary pressure. And on the ARP side of the CapEx program in the Utilities, we still get to continue to collect that through rate writers. So, we're just -- we're basically flowing that through to the rate writers.
Ben Pham: Okay, great. And maybe back to Blue. I'm wondering on the regulatory filing side, you've had the D.C. recently, and you're benefiting from some of the other jurisdictions from recent rate bumps like when is expectation on how often you need to come back, is it every two years to reduce that regulatory lag? And then the third question is, why would the ARP programs expiring in 2023? That -- is that more filings in 2023 or do you need to start thinking ahead of that?
Blue Jenkins: Yes, good questions, Ben, let me take the accelerated programs first. So, as you note, so we have a program, so Michigan carries through 2025. So, that one's got a bit more runway. The Virginia program, the current program ends in 2022, but we filed for a five-year extension where we're fairly optimistic based on the commission -- or the commission staff response to the commission that that's going to turn out very, very well. As a reminder, we filed almost $900 million requests for a five-year program. So, that's a very sizable term program, we expect to get a large percentage of that. We do -- the Maryland program ends at the end of 2023, so we will file late this year or early next in terms of extending that program, and then D.C.'s program ends in 2023. So, same schedule, we'll file late this year or early next, on extending that program. We believe that we've shown really good progress as Randy highlighted earlier, our progress on leaks and our ability to execute those programs and what it's meant for the long-term cost benefit to our customers, we think that's a good story. So, we're optimistic those will continue. To your other point in terms of what's our cadence of filing, it's a function, of course of what's occurring in the greater marketplace. So, I wouldn't tell you we have we have a pre-planned cadence of filing, we look at our capital, we look at our ability to recover those accelerated pipeline projects. And we've done a really good job over the last couple of years of holding our manageable costs fairly flat. So, if we continue to do that, that obviously gives us some flexibility in filing. D.C. as Randy mentioned, we've just had such a large capital investment there over the term, it was time for us to file again. But I would tell you we're very focused on our cost and ensuring that we balance the needs of meeting the regional commitments to both our customers and other stakeholders as well as managing the cost to our customers. So, we're very thoughtful about that.
Ben Pham: Okay, that's great. Maybe one last one -- this one is for you, James is how do you think with the FX right here, do you typically hedge out at FX and you see opportunities like this where the USD is moving up?
James Harbilas: No, I mean, we've looked at this in the past and we don't hedge from a translational standpoint. I mean we do consider hedging on transactions at certain times to be able to lock in profitability on U.S. dollar denominated revenue, where we've got cat input costs, but not from a translational standpoint. And if I look at it in the context of our EPS and our debt ratios, we don't get impacted greatly at that level, just because of the fact that we've got a large U.S. dollar revenue base and cost basis as well, right. So -- and so we do get to translate the numerator and the denominator at the at the same rate, and we don't have as much of an impact. And the last point I'll make is that current FX rates, that's pretty much in line with what we had when we rolled out our guidance. So, we wouldn't expect it to be a headwind or a tailwind relative to our guidance ranges that we've provided at the EBITDA level.
Ben Pham: All right. Thank you.
Operator: Your next question comes from Patrick Kenny with National Bank Financial. Please go ahead.
Patrick Kenny: Yes, good morning. I just had a couple follow ups on the potential site, the expansion next to RIPET. Wondering what level of ownership you'd be comfortable taking on at this site? Are you thinking a similar 70/30 JV structure? Like you have at RIPET? Or perhaps more 50/50 with full pack on this one? And also sounds like there's a likely update coming with respect to the circa $900 million budget, but curious how you might be inclined to finance your share of the investment balance sheet versus project financing, especially in light of trying to achieve a bump in your credit rating sooner than later.
Randy Crawford: Appreciate the question. This is Randy. I'm going -- I'll answer the first part and leave James to talk about the second. But I mean we are proud to work with our partner of Vopak and we've been partners and we regularly discuss these opportunities to expand that partnership and his capability. So, as we look forward in this project, we'll ultimately determine whether it's 50/50 or such. And that may be where that goes if we go forward and says, but we're talking and working on a lot of other expansion opportunities as well. And so as these things start to crystallize. James, I'll let you comment on the debt financing.
James Harbilas: Yes. Patrick, it's James here. From a financing standpoint, look, I mean, at the end of the day, it's -- we still haven't FID the project, but we would consider on balance sheet financing, we would even consider project financing. I think it's still too early to tell. But at the end of the day, I think we've done a great job recycling capital in the past to be able to fund CapEx programs. If we look at our platform as it exists today, we've always said that we can dial capital up and down between the two segments depending on needs and returns. So, we would expect to be able to fund this the way we've funded our CapEx programs currently. And that's fund from operations and incremental drawings on our facilities which would generate incremental EBITDA and maintain or improve our leverage ratios.
Patrick Kenny: Okay, that's great. Thanks for that. And then with respect to this expansion, adding other products such as methanol, refined products to your exports platform. Just wanted to get your thoughts on how you see this diversification, potentially influencing commercial discussions with customers as more of an integrated offering, with RIPET and Ferndale. And then also, I guess, how adding these new products to your portfolio might impact or fit with your overall ESG strategy?
Randy Crawford: I think, Patrick, thanks for the question. When we look at what's -- what we've done in recently, in terms of our experience, by adding Ferndale and butane to our product mix is obviously added a lot of optionality and a lot of value to our customers, both in Asia as well as our producers. So, it's a little earlier or premature to look at exactly what products because at the same time, we could learn about look at products in on the renewable side of the business as well, such as ammonia and other factors that in the long run. So, again, we'll evaluate all of those impacts. But overall, I think the strong demand for energy and overall being short energy in the world, I think presents a critical need and opportunity for expansion.
Patrick Kenny: Okay, perfect. Last one for me. I'm just wondering with respect to your Petrogas footprint and Fort Saskatchewan, and your storage JV with ATCO there, now that we're starting to see some progress on the carbon sequestration front, whether or not you guys have any direct or indirect plans to participate in the development of the carbon capture network, in the industrial heartland area, or perhaps at any other upstream processing asset within your portfolio?
Randy Toone: Hey, it's Randy Toone. Yes, we see the partnership with ATCO in the heartland is a valuable partnership going forward. And those are salt caverns, and so they're not necessarily used for carbon. But we do believe that products like hydrogen in the future would be, it'd be well suited for that. So, we are looking for future opportunities there at our Harmattan facility, it's -- Harmattan one of our large larger emitters, and we are looking at potential carbon capture there and potentially participating in some of the government incentives to work that project.
Patrick Kenny: Okay, appreciate that. I'll leave it there. Thanks guys.
Operator: Your next question comes from Robert Kwan from RBC. Please go ahead.
Robert Kwan: Good morning. Just you've given -- or you have some more time now to digest MVP. So, I'm just wondering if you've got some general thoughts on the deleveraging plan, and, more specifically, there's been some additional movement on LDC M&A in the U.S., and just wondering whether that or even just rates moving higher, has created an additional sense of urgency to look at monetizing to get that leverage down?
James Harbilas: Hey, Robert, it's James. I'm going to defer the LDC M&A question to Randy, but I'll deal with the leverage question. I think we've been pretty consistent in our approach to deleveraging and I don't think we can lose sight of the significant strides we've already made. And the fact that we've come out of numerous rating cycles where we've had our ratings, confirmed, and most recently by Fitch to BBB and S&P BBB minus. So, we are going to experience some additional deleveraging in Q2 as we've closed the sale of our non-operated interest in Northeastern BC. So, that's going to take that down by another 225 million roughly from our Q1 22 exit rate. So, we continue to think as a result of that we can be patient in order to maximize value on MVP, and obviously, the partnership is currently contemplating next steps, and a revised in service state. So that could be 2023. We'll wait and see once a consortium has landed on a path forward there. But absent the asset sale, we still feel confident that we can get to our targets with respect to leverage that we've laid out. And that's through organic investment and organic growth and our EBITDA, it will take a little longer absent that asset sale. But we do feel that we can still get there. And MVP continues to be one that's going to be non-core for us, we just have to continue to be patient with it to maximize that value. And I feel that the balance sheet is in pretty good shape here for us to be able to continue to make organic investments.
Randy Crawford: Robert, this is Randy. James answered, but I'll just add net context from an asset salesperson, we're on track to meet our debt EBITDA goals, we are continuing to as we have meant as a discipline management team opportunities to sell non-core non-growth assets. So, we continue to do always to look at that capital recycling overall, but we're approaching it in a very disciplined manner. And we have significant growth opportunities ahead of us. So, I would say when it comes to selling assets, it's not solely for metrics as such as if that were that were targeting, but rather that we're looking more to reinvesting funds into the growth opportunities going forward.
Robert Kwan: Got it. Just on guidance, can you just you touch I think, James, earlier on the FX, but are there any incremental headwinds or tailwinds in the fourth quarter call that you want to highlight with respect to the guidance range? Or where you'd be in the coming quarters?
James Harbilas: Yes, sure. I mean, look, I mean, we feel comfortable with the range at 1.5 to 1.550, with the midpoint at 1.525. If I look at some of the headwinds, though, that we've had relative to the guidance that we rolled out, there's two primary ones, one was obviously the buyout of our non-operated investment in Northeastern BC and obviously, the delay of MVP, we had some small EBITDA in the back half of the year related to MVP. So, if I add those two up, that's $20 million of headwinds. That being said, those headwinds were offset by strong performance in our retail business and our asset optimization business within the utilities. And that was a result of strong commodity prices and we'll give some of that back in retail, but that performance on asset optimization and retail is what helped offset the headwinds on MVP and the buyout of the Northeastern BC 50% interest that we had. So, when I kind of take a step back and I take all of that into consideration, that's why we feel comfortable with the range.
Robert Kwan: Got it. If I can just finish up with a last one here on Petrogas, can you just talk about the performance during the quarter? I don't know if it's a good kind of signal that non-controlling interest expense was down. So, was that indicative of Petrogas being a little weaker on the quarters or something else to be thinking about?
James Harbilas: Yes, so I touched on it a little bit in an earlier question. So, if I look at Q1 of 2021, we had very, very strong results on the NGL domestic marketing side of the business, which was Petrogas, predominantly, and it was about $30 million to $35 million. So that's what would have increased the NCI in Q1 of 2021 relative to Q1 of 2022. That was concentrated within the Petrogas platform in terms of that performance.
Robert Kwan: Okay, so that’s inventory where you put it into different markets with Petrogas, pretty much completely.
James Harbilas: You got it.
Robert Kwan: Okay, that's great. Thank you.
James Harbilas: Thank you.
Operator: The last question comes from Andrew Kuske with Credit Suisse. Please go ahead.
Andrew Kuske: Thanks. Good morning. My question really is around your capital program and I think ballpark figures. You're 20% Midstream, 80% Utilities, should you proceed on the expansion projects and the expansion potential for your export business? How do you think those numbers land just on the proportionality between the two businesses?
Randy Crawford: Andrew, I think that as we look forward, right, we've given our guidance on our rate base growth and Blue and the team are executing well there. And we talked a good bit about the accelerated pipeline and real benefits that were driving the customer. So, over time, right that -- we'll continue to have some flexibility around the spending and the utility as we move forward, as we continue to improve the integrity of the system. So, again, I think James touched on it in terms of our ability to dial down and up in terms of our CapEx. So, we take all of those into account as we look at the timing of the projects and such. And, again, that's just part of us as a growth company moving forward. So, we get some specifics on the project, we'll be able to give you more detail as we go forward. But at this point, we feel very confident in our flexibility to fund great opportunities we have in the organic growth platform.
Andrew Kuske: I do appreciate that. And then I guess maybe conceptually, do you think of the midstream businesses being able to build assets? Let's pick a range of, say at a five to eight, multiple build, but it's worth north of 10, just for argument's sake in the utilities business more stable, but rate based driven with an ROE kind of framework. Does that sort of how you conceptualize the capital allocation, you get the value list, when you bring on a midstream asset, and utilities business sort of chugs along in a de-risk fashion?
James Harbilas: Yes, Andrew, its James here. I mean, look, the build multiple that you touched on, roughly five to eight times is very consistent with what we what we rolled out, when we hosted our Investor Day back in December, those are the type of build multiples we are looking at. And the only thing I'll add to Randy's comments, and we've said this in the past is that when we look at the utility CapEx program that's typically much more linear for us. And as you talked about, subject to the regulated returns, and a big chunk of that is collected through rate writers. And we've always said that midstream goes through a much a much lumpier profile for lack of a better word, just given the fact that we built out capacity, and then we fill up that latent capacity. And then we see another wave of growth. And that's what I think we're on the precipice of here with some of these projects that that could move forward in the coming years,
Andrew Kuske: Pretty good. I got to sneak one final one in and -- how do you think about just some of the LDC trades that we've seen in the market and the valuation that they've carried and the potential to monetize portion of an asset to effectively liberate capital and get a high valuation as a marker versus the complexity that that might bring into the structure?
Randy Crawford: Yes, I think, Andrew, thank you for the question. Again, as we look forward, and I mentioned this on the last call about the underlying intrinsic value of these assets, which is why we are investing in our utilities going forward. And I think that's something that we've been excited about, and people recognizing that intrinsic value on a going forward basis. So, again, I don't want to comment on a specific, but when we look at risk, capital lease recycling, we're not so much focused on illuminating that value, because I think that's starting to be demonstrated going forward. But it's more from a business standpoint of how we continue to fund what we believe is just significant opportunities for strong organic growth well above our cost of capital.
Andrew Kuske: Okay, that's great. Thank you very much.
Operator: This concludes the Q&A Portion of today's call. I will now turn the call back over to Mr. McKnight.
Adam McKnight: Thanks, Miranda, and thank you everyone once again for joining our call today and for your interest in AltaGas. As a reminder, we will be available after the call for any follow-up questions that you might have. That concludes our call this morning. I hope everybody enjoys the rest of their day and you may now disconnect your phone lines.